Operator: Good day and welcome to the MarineMax Inc. Fiscal Third Quarter 2013 Earnings conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Shannon Devine of ICR. Please go ahead.
Shannon Devine: Thank you, operator. Good morning everyone and thank you for joining this discussion of MarineMax's 2013 fiscal third quarter results. I am sure that you have all received a copy of the press release that went out this morning but if you have not, please call Linda Cameron at 727-531-1700, extension 101-00 and she will email one to you right away. I would now like to introduce the management team of MarineMax. Bill McGill, Chairman, President and Chief Executive Officer and Mike McLamb, Chief Financial Officer. Management will make some comments about the quarter and will then be available for your questions. Mike?
Mike McLamb: Thank you, Shannon. Good morning, everyone and thank you for joining this call. Before I turn the call over to Bill, I'd like to tell you that certain of our comments are forward-looking statements as defined in the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risk include but are not limited to the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I would like to turn the call over to Bill.
Bill McGill: Thank you, Mike and good morning everyone. We are proud of our team's ability to effectively execute our strategies and grow our business and earnings in the face of weather that impacted our industry and much of the United States during the June quarter. Our same store sales growth is a great accomplishment in normal times but to grow is even greater feat with the adverse weather conditions we faced. Our 16% improvement in same store sales in the June quarter follows a 12% growth in same-store sales in the March quarter and marks the first back-to-back double-digit same-store sales growth we have had in a long time. This further validates our opinion that the industry has entered a long term cycle of growth. This quarter we also benefited from a damage recovery received from BP related to the Deepwater Horizon oil spill and Mike will speak about that in more detail in a few minutes. Our same-store sales growth came primarily from increases in new boat sales. Of all our product categories, boats carry the lowest margins when compared to our higher margin businesses such as brokerage, finance insurance, parts and service, storage in MarineMax vacation charter business. Since our consolidated margins increased slightly on strong boat sales, you can tell that our boat margins are at a healthy level even though they are still below historical averages. We have additional margin expansion opportunity in the coming years, as we are still approximately 50 to 75 basis points below historical levels. The increase in new boat sales was strongest in the larger products. We now have the right selection of brands that allows us to serve a large array of customers and bring them into the MarineMax family. Our experience the past few quarters is showing that within almost any category of products, we have a relatively new model that is priced appropriately, it's selling very well. Our manufactures are accelerating efforts to provide us with product and product innovation in new models which should help drive additional demand. While all of our markets were impacted by adverse weather during the June quarter, the primary growth contributions came from our New York region including Connecticut and Rhode Island and towards a lesser degree Florida. Interestingly, our March quarter resulted in even more meaningful market share gains than we had previously anticipated. As we discussed on our March quarter call, we are fairly, we were fairly promotional, which was in response to our efforts to offset out adverse weather conditions. Based on the market share data that we recently released, our efforts were rewarded in a major way in terms of market share gains. Midway through the June quarter, as weather conditions persisted, we increased our promotional activities further, in an effort to gain additional market share and revenue. We believe, we will again see strong market share gains from the June quarter as well, but this growth came at the cost of incremental expenses which pressured our earnings in the short term. As we have previously stated, it is apparent to us that the industry recovery is underway and that the industry growth in units will be much greater in the future. However we have also noted that the steps along the way will be susceptible to handle headwinds. Based on this past quarter and with a wide ranging impact of Hurricane Sandy last year, these challenges will not be economic, but weather will play a role as well. The lingering effects of Hurricane and Sandy continues to dampen sales in our New York, [New Jersey] market. Understandably, our customers are paying attention to rebuilding their homes and infrastructure, before they focus on their boat purchase. Based upon feedback from our customers, we believe there will be significant pent up demand in the state of New Jersey starting in 2014. MarineMax continuous to make progress during these times, and it is capturing business and consequently market share, as our customers return to boating. While we are needed to invest and push demand, we approve when we can do it in an effective manner as the industry continuous to rebound, we expect to be able to curtail some of our promotional expenses. We will continue to work to overcome the forces of nature and other obstacles that may come out way as we drive long term growth. And with that update, I will ask Mike to provide more detail comments on the quarter, Mike.
Mike McLamb: Thank you, Bill. Good morning again everyone. For the June quarter our revenue increased more than 16% to just over $175 million. Our same store sales increased by about 16% as well. Based on preliminary industry data for the June quarter, we are trending above the industry and gaining share. And the quarter generally larger products were the strongest. Yet, we did see good sales growth and segments such as premium fishing boats and ski and wetboard boats geographically we do not have quite the extreme differences between the north and the south that we saw in the March quarter, but north did kick in just too late for the quarter in most markets due to the weather. The notable exception is the New York-Connecticut and Rhode Island markets, which were also late to respond but made up all the ground and more in the month of June. In total, based on the strength of these markets our growth in northern markets overall exceeded our southern markets. Florida continuous to improve but the June quarter's traditionally not a strong growth quarter for Florida. Gross profit increased 16.2% to $46.8 million for the quarter, and increased slightly as a percentage of revenue. The increase in gross profit dollars was primarily the result of increased boat sales. Stronger boat margins and increases in the higher margin businesses added to our overall margin expansion. This quarter we benefited from a damage recovery we received from BP as a result of the Deepwater Horizon oil spill. We like many Gulf Coast based businesses filed claims to recover damages we incurred during the BP oil spill. Several of our claims worked their way through the appeals process and more resolved this quarter resulting in a $7 million recovery being recorded. We do have additional claims in process and the exact outcome of these claims is difficult to predict. The recovery is significant enough that could meaningfully increase our tangible net worth and further strengthen our already strong balance sheet. Absent the BP recovery which is reflected as a reduction of expenses, our SG&A increased to $40.1 million but decreased slightly as a percentage of revenue. The increase in SG&A was the result of variable cost from our increased sales along with increases in our promotional activities that included enhanced payout to our sales team and an ongoing rise in insurance costs. Specifically, we continue to experience rising health insurance costs. The increase in health insurance this quarter was approximately $500,000 due to an increase in the health insurance claims. We also reported about $350,000 in the quarter related to resolving certain Hurricane Sandy related insurance claims. We continue our efforts to control and reduce other costs to offset our rising insurance costs and improve leverage in the business. Interest expense increased to about $1.2 million for the quarter as a result of the additional average borrowings. Interest as a percentage of revenue remained flat. The company had an income tax benefit of $1.1 million for the quarter due to certain tax positions that were reserved which were ultimately approved by the tax jurisdiction. As a general rule, our effective income tax rate will remain essentially zero for the near-term due to the availability of substantial net operating loss carry forwards, which are fully offset by evaluation reserves. Our net income was $13.6 million or $0.56 per diluted share compared to net income of $4.6 million or $0.20 per diluted share last year. Excluding the BP recovery and the tax benefit, our net income was $5.5 million; an increase of 20% on a year-over-year basis and our earnings per diluted share was $0.23. For the year-to-date figures, I'll only comment on few items. First, our same store sales growth is double-digit at 13%. Our gross margins overall followed up reasonably well and have certainly improved as we got deeper into the season. Excluding BP and the tax benefit, our net income was $1.8 million or $0.07 per diluted share for the nine months ended June. Turning to our balance sheet, at the end of the quarter, we had approximately $37 million in cash plus a significant amount of liquidity in the form of unlevered inventory. Our inventory level at quarter end was about $235 million, which is up 18% from last year, the increase in inventories due to a handful of factors such as increases in several product lines and growth in our charter business. Overall, the aging of our inventory, the levels are in good shape.
File 8, 1:27: Our balance sheet is strong and will continue to strengthen with increased cash flow as the recovery takes hold. We ended the quarter with a current ratio of 1.57and total liabilities to tangible net worth ratio of 0.91. Both of these are very strong ratios. Our tangible net worth stands at almost $216 million. We own about half of our locations all of which are debt free and we have no debt except for the inventory financing that I mentioned earlier. During the quarter we increased our financing capacity. We added two vendors to our GE led facility and increased its size to $205 million from $150 million. We added a capacity as we believe the recovery will continue and we will need it to support growth in the coming years. Furthermore, we received the modest interest rate reduction of 28 basis points as part of the amendment, which helps. As for current trends, I will remind you that last September quarter had a strong same-store sales growth of 18%. So we are up against a tougher comparison than the June quarter just ended. However, today we expect that July will finish above last year's July. With that update, I will turn the call back to Bill.
Bill McGill: Thank you, Mike as we continue to outpace the industry based upon the latest data, we attribute this to our size, the scale and breadth of our products. Additionally, we are providing for our customers an outstanding experience throughout every part of our organization. Our customer centric business model is allowing us to capture greater share of the market as this recovery continues. We continue to grow the brands within our stores and we will continue to look for additional opportunities with not only brands, but also strategic acquisition opportunities as they arise. With the innovation of new products coupled with our capabilities in balance sheet, our company has poised to generate sustainable growth. This combined with MarineMax feasibility to provide a one soft solution for all of our customers boating needs positions us quite well for success over these coming years. We have significant competitive advantages that will continue to result on ongoing market share gains and one of the strongest advantages is our team that always finds a way to overcome the challenges we face and it's the reason our customer satisfaction is at a world class level. And with that operator, we will open the call up for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Mike Swartz with SunTrust.
Mike Swartz - SunTrust: I just wanted to touch on promotions and just to clarify, I mean when we typically think of promotions, we think price plus accounting. But I wanted to just hear your take it sounds like it was more on the sales force kind of incentive front. And then how should we think about that going forward? I mean, should we see that start to kind of ease in the back half of the year or are you going to continue to happen run some of those promotions going forward?
Bill McGill: Well, Mike as we went in to June and we saw that weather was still an issue across the Northeast. We did quite a few promotions, some of it was some campaigns of advertising, other is we went to few more outside of it and perhaps some smaller shows in order to try to stimulate some of that business and we did. I mean, we got some business out of it. And we going forward, we don't believe we're going to have to continue to do that. It's pretty active as we mentioned in New York, New Jersey, there is not much we can do to drive it too much more than we are doing right now meaning infrastructure is not there, but then rest of the country is performing well, people out boating as we've heard the weather is pretty all night in fact, its impact is very high which help to drive people to the market in the northern market. So I would say, we are going to be spending less in promotional activities going forward.
Mike Swartz - SunTrust: And you did mention that your outlook for July, I mean you are saying, your comps looks up year-over-year, I mean, did any that promotion extend into July or is most of that done by the end of June?
Bill McGill: A lot of that promotional activity and in some cases you don't see it right away. And so it is more of, some of them are short-term, the longer it is more on the long-term size, so I would say some of the business we are seeing now in July as a result of the efforts, we have put forth last quarter to help drive it. And so, we are encouraging our people to get onto the water. We got a lot of promotions going on right now, not only with the manufacturers but also internally to get people into the showroom and also get them on our gateways and get them out boating.
Mike McLamb: And Mike to be clear, I think for I think where you are going with this also is the given the industry data, I think everybody have seen on Stern drive and inboard boats which is our primary product which was soft in the June quarter. We are more incrementally more promotional right now to keep driving business into shorter markets. So we are running a little harder than we had normally be as well from expense perspective.
Mike Swartz - SunTrust: Okay, great, thanks for this color and then just final question just as we think about the comps for the current September quarter with the July being up year-over-year, I mean how does that kind of trend last quarter was, was July the strongest month or did the comp increase as you went into August and September last year?
Mike McLamb: Well, first off in the September quarter typically July and September are the two biggest months and August is usually a loss, people go back to school and so July being up is good right now. We obviously have two more months to sell a lot of boats and get the quarter in the right direction. The quarter did finish pretty well last year, it's my memory, I did not actually check that before the call, but I'm pretty sure it finished well last year and strong. And so we've got probably some increased headwinds as the quarter you know goes through August and September.
Operator: And next we go to James Hardiman with Longbow Research.
James Hardiman - Longbow Research: A couple of questions. I am sure it's not lost on you guys that your stock got completely hammered following last Friday's release of some of the industry data, talk a little bit about how we could reconcile what you guys have done so far this year with the industry data that's meaningfully worse and I guess conversely can reconcile those numbers or is that just I think you know ultimately a bad read on your business. And I guess sort of related, how should we think about if we were to deconstruct that 16% growth, how should we think about that in unit growth versus pricing and mix, I mean you mentioned that you know the high end boats are really a big part of the growth that you are seeing?
Mike McLamb: Yeah, I can try to address a couple of them. Bill may want to chime in, but what I'd say generally if you see negative industry data and stern driving in board both which today is still primarily our biggest part of our business, although we're becoming more diversified with aluminum, (inaudible) fishing boats, ski and (inaudible) boats and all that, but if you see the type of negative data that you saw, you can probably assume that we experienced it. I would like to say we're fighters and we are scrappers, so we're trying to make business happen and so our earnings may be pressured. So the impact of the data that you saw, the impact of the softness really was a resulted on our bottom line more than our top line. We're able to still sell those and sell them for margins, but I think you can interpret that data is probably impacting our bottom line as much as anything. We tend to outperform the industry. We tend to incrementally gain share each quarter or in different segments now, and we're growing in those segments which is good. From a unit perspective and looking at our quarter, the bulk of our growth in same-store sales was driven by an increase in product size and average unit selling price. Our unit growth in the quarter on an apples-to-apples basis was low single-digits. So you can tell that most of our growth is coming from product with higher average unit selling price and that doesn't mean a price increase. That means we're selling larger, more expensive product this quarter.
James Hardiman - Longbow Research: That's very helpful. And then what's the narrative, let's talk about your balance sheet for a minute. What's the narrative that we should take away from the increased customer deposits in the quarter? Basically the story that seemed to make sense coming out of same quarter was you had a lot of people that were interested in buying both. They put down deposits, but the weather was sort of holding them back. Is that ultimately what we are also seeing in the third quarter? Do we think that number comes down to more normalized levels to end the year or is there something else that I should read into that? And I guess separately in terms of the cash, I mean you guys are sitting on more cash on my math than I've ever seen on your balance sheet, where does that finish the year and ultimately what are you doing with the cash?
Mike McLamb: Let see if I can address the first point, the first point of customer deposits, I think the customer deposit line reflects generally increasing strength in larger product, but in business in general and where we have, I think Bill mentioned it, where we have a relatively new model that's price appropriately it's selling reasonably well, we do have new models coming.
Bill McGill: And on the new models there is demand and so right there are no order, which means customer deposits.
Mike McLamb: That's exactly right, with certain of our manufacturers. I think generally deposit line is signalling good things that deposits as I mentioned can be very lumpy, you can take a $1 million deposit on a boat that's going to deliver next March quarter. It's hard for us to predict, where deposits are going to be come September. It's that lumpy of a business, but I think generally it's nice to see that it's increasing, and there isn't any, there is nothing this quarter like there was at the end of March quarter, we did have a bunch of boats that weren't unable to deliver with deposits. That was true in March, it's not true in June. We just have normal customer deposits in June. As for cash, we are a net debtor because of our floor plan and our inventory position at the dealer. We take all of our cash and pay down our floor plan daily and the rate on that is some points close to 4% or there about. So that's how we use our cash throughout the year to reduce our interest expense. We also as Bill mentioned, we are exploring other growth opportunities through acquisitions and other means which we'll always have there. And as what were the cash balances would be at the end of September, part of that depends on the strength of the September quarter, but will probably be approximately near what it was last September.
James Hardiman - Longbow Research: Very helpful. And then just last follow-up, you guys sort of call out some new products being particularly helpful. Are there any particular products that you sort of call out is being really meaningful and sort of what's the inventory situation there. How are you keeping up with demand? Thanks guys.
Bill McGill: James, we've had a quite a bit of success with the Azimut brand, the Italian product and some of that is that slow coming out with some sport yachts in yachts that are new models. However that being said, they let the fire up real strong. And so we've got a 5, 10 sun dancers that's doing very well right now, that's out, there is bridge that's coming out on top of that, we've got some new 58 that are coming. There is new 65 foot motor yacht, that's only horizon and additionally more product on the drawing boat, out boats and deck boats and a new 35 sun dancers that we received in and new sales it always does some of it is innovation and some of it is the styling and what they do with interiors that gives consumers a chance to say, wow, I have a good reason to go ahead and trade up or to buy that new products. So I think there is a lot of opportunity going forward, because the products that (Inaudible) coming out with for Sea Ray. And Whaler has been doing this for few years and we are seeing a lot of success with the Boston Whaler product as well. And if you jump over to see boats for a minute a lot of innovation and lot of new products, and lot of wonderful features. And so what we are doing very well with the Sea and Ray boat product and are still. And of course if you look at our boat, aluminum continues to be strong as well as our boat are doing very well. So I think we are starting to get the products that we need and of course we have leverage the brands into our stores that we did need and we did that because with sport cruiser and out business being down on the (inaudible) front, it helped supplement what we need in the stores.
Operator: And next we go to Jimmy Baker with B. Riley & Company.
Jimmy Baker - B. Riley & Company: Just a follow-up on the increased selling commissions, are you using that incentive to attract and you grow your sales force or is it simply to may be better incentivize your existing team?
Bill McGill: There is a couple of things there, but the primary one being that, we have re-launched one price selling in our company in a major way, so we got all of our store managers together, we do that a couple of times here in anyway and we bring store and how we are going to get all negotiation with our customers. And we came up with the model that is working and part of that is rewarding the sales team member for getting the margin that we need and increasing the margins from where they've been in the past and so we're paying a greater percentage of commissions but at the end of the day the margins are coming up. And that's the primary increase in commission expense that we've got out there and so we're seeing it working we didn't see very much of it in the June quarter because, we really launched it in May but if you go way back before MarineMax and we [relaunched] one price selling, we did customer focus groups, and if you ask the consumer do you want to negotiate the consumer will say yeah. If you ask them what are you really looking for in price and they'll tell you I want your best price, I just want to make sure, that I haven't been mistreated and so I want your lowest and best price and so we got away from that especially with what happened in the economy in '07, '08, '09, '10, '11 and so we're getting back to it and we're doing it in a more precise manner than we even did in the early days of ‘MarineMax and it's working. The customers are saying I love it, give me the best price, that's all I really want and I don't really want to negotiate and because that's taken away from this whole emotional reasons to buy both and as such we're seeing our margins come up and so we're hopeful that going forward we'll be able to demonstrate that to you in future earnings.
Jimmy Baker - B. Riley & Company: That's helpful and I was just hoping maybe you could talk a little bit more about let's say prioritizing market share versus margins and also are you seeing other dealers promoting more aggressively and or you kind of leading the charge there may be catching some competitors flat-footed and I guess a follow on to that would be I'm just interested given the weak industry trends if you expect more rebates or incentives from the OEMs here in the back half for the calendar year?
Bill McGill: As far as others are concerned, there is few manufacturers that are out there in a major way from doing advertising but from a dealer level, we're not seeing, we're probably seeing the opposite. We're seeing less promotional dollars being spent. In fact the other thing we're seeing is there is less appetite to buy larger products and so that's one of the things that's helped us through this is that there is not a lot of competitive product out in the field because today as we've discussed on previous calls, the dealers have to put a deposit when they go to (inaudible) something and then they got due curtailments as it age and so their appetite to do that with their balance sheets and with their networks is less than it was back in the better times. And so we see that as a competitive advantage, and the fact that we're taking market share it's a couple of things and one of them I think we're out promoting boating to our customers and get them out on the water and taking excellent care of them and the other thing is we have the products and the strategies [nail].
Jimmy Baker - B. Riley & Company: Okay, then just maybe a follow up on the competitive environment and fiber glass and sterndrive inboard, it looks like that category is taking another leg down this year. It's tracking down about 80% from previous session years when compared that to the number of fewer dealers which I think it's quoted down 35% or down 40% from the previous session. Yet it would seem as maybe still too many mouth to feed in that category or you're seeing many of your competing dealers exit sterndrive brands altogether or the category altogether, particularly given your share gains?
Mike McLamb: I don't think, we have seen recent exits in the market that we're in.
Bill McGill: I think it's been more of a downsizing of how they run their business, so it's...
Jimmy Baker - B. Riley & Company: Fewer locations.
Bill McGill: Yes, and also more of focus on brokerage and smaller boats versus the risk associated with, you know on their balance sheet of some larger products. So I think there has been an adjustment in their business model. But we're not seeing very much fall out as far as additional dealers, but that being said we're not seeing dealers coming on as new dealers either.
Mike McLamb: And what's happened Jimmy as these, as the 40% or 35% of the dealers went out of business the manufactures that builds the brand that those dealers had are still in business today. And the brands are now being carried by the rest of the dealers. So as an example, we've expanded with brands and some other dealers have expanded with brands, so while they have a decrease in their sterndrive and inboard sales, they may be selling some outward boat or some other pontoon or something like that to help keep the lights on and keep the business moving.
Jimmy Baker - B. Riley & Company: Thanks a lot for the time guys. I appreciate the color.
Mike McLamb: Alright thank you. Jimmy.
Operator: And we will take our last question from Peter Mahon with Dougherty.
Peter Mahon - Dougherty & Company: Good morning guys most of my questions have been answered, but I had couple of more. Could you talk about just kind of the characteristics of your inventory right now, have you seen a shift towards new product away from that used product and in addition to that, how is the pricing environment right now, are those used products still kind of carrying a premium like they were a few quarters back. So if you wouldn't mind kind of talking about that a little further that would be great?
Bill McGill: The supply of used products out in the field is more normalized that to ties back in the better times. And also the pricing is more normal. So as an example, if someone got a boat, it's three years, four years, five years old, the deprecation on that product is about the same as it was at better times, like it was in ‘07,'08,'09 and a few years it is doing. So, the inventory is dried up, there is not a lot of it out there and a part of that is caused by the fact that, there was less being sold in the last four or five years. And so it's just not available. And that's helping new boat sales and I think it'll continue to help new boat sales to grow. Its consumer confidence improves and I think it's better for our industry that we'll get back to the level of perhaps 30% or so of the product that's been sold annually will be new versus where it is right now. So, we're able to take trade much better, financing is very good. We're not having too many issues with financing other than in a lot of cases; they want a down payment, where they didn't do that back and the times before ‘07. But the new boat business I think has a real opportunity and used will continue to be impacted to where it'll be a demand type product because it was less being sold.
Peter Mahon - Dougherty & Company: Great, that sounds good. And second question has to do with gross margin, you know, we saw gross margins remain flat year-over-year which is good concern in the environment you guys are in. In the past, you did promotions such as discounts on boats but it has impacted gross margin, it sounds like this time you focus more on incentivizing your sales team, do you think there is any chance or what's the likelihood of you guys maybe using like more price promotion in the near-term?
Mike McLamb: We used it in the March quarter if you remember in the northern markets; we were little more aggressive on price. I think where the aging of our inventory is in the mix of it, which is all on pretty good shape; I don't think it's the price issue as much as that is to stay focus issue. And I think the enhanced plan that Bill talked about, it should help margins. We constantly in the business we are in and the diverse locations that we are in, we constantly look at what lever you can pull to drive business. So I will say never but that's not our intention.
Peter Mahon - Dougherty & Company: Got it, okay, so you would say that the change year-over-year in margins in Q4 and the September quarter is going to be related more to in fact it probably should go up as some kind of worked out of those pricing promotions, so we should probably see some margin expansion in Q4?
Mike McLamb: You know, it all depends on the mix. It's one key thing in our business is mix; if we sell a lot of larger yacht which carry typically lower gross margins that typical pressure our gross margins to drive same-store sales that's the one thing that I can see talking about on a quarter-to-quarter basis as more what's going on from a mix perspective and hard to comment specifically today on what the September quarter margins will be because of that what the mix could play out.
Operator: It appears there are no further questions in the queue at this time. Mr. McGill, I would like to turn the conference back to you for any additional closing remarks at this time.
Bill McGill: Well, I would like to thank our team for their passion and commitment to providing our family of motors with world class customer service. Our team enhances our customers boating life style by helping them maximize their boating experience and you know the MarineMax experience changes customers' lives by uniting them with itself and with others on the wire. So I would like to thank everyone for joining us on our call today and for your continued interest in support of MarineMax and Mike and I are available today if you have any additional questions. Thank you.
Operator: And this does conclude today's teleconference. We do thank you for your participation. You may now disconnect at this time.